Operator: Greetings. And welcome to the CVR Energy Second Quarter 2024 Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Richard Roberts, Vice President of FP&A and Investor Relations. Thank you, sir. You may begin.
Richard Roberts: Thank you, Christine. Good afternoon, everyone. We very much appreciate you joining us this afternoon for our CVR Energy second quarter 2024 earnings call. With me today are Dave Lamp, our Chief Executive Officer; Dane Neumann, our Chief Financial Officer; and other members of management. Prior to discussing our 2024 second quarter results, let me remind you that this conference call may contain forward-looking statements, as that term is defined under federal securities laws. For this purpose, any statements made during this call that are not statements of historical facts may be deemed to be forward-looking statements. You are cautioned that these statements may be affected by important factors set forth in our filings with the Securities and Exchange Commission and our latest earnings release. As a result, actual operation of the results may differ materially from results discussed in the forward-looking statements. We undertake no obligation to publicly update any forward-looking statements, whether as a result of new information, future events, or otherwise, except to the extent required by law. This call also includes various non-GAAP financial measures. The disclosures lettered in such non-GAAP measures, including reconciliation to the most directly comparable GAAP financial measures, are included in our 2024 second quarter earnings release that we filed with the SEC in Form 10-Q for the period and will be discussed during the call. With that said, I’ll turn the call over to Dave.
Dave Lamp: Thank you, Richard. Good afternoon, everyone, and thank you for joining our earnings call. Yesterday, we reported second quarter consolidated net income $38 million and earnings per share of $0.21. EBITDA was $103 million. Our results for the quarter reflect the weakness in refining product tracks in the Mid-Con, in addition to the downtime and increased expenses associated with the fire at Wynnewood. We estimate total pre-tax impact of our second quarter results from the fire was approximately $50 million, which does not include the impact of any insurance recoveries that may be achieved in the future. We are pleased to announce that the Board of Directors has authorized a second quarter dividend of $0.50 per share, which will be paid on August 19th to shareholders of record at the close of market on August 12th. Our trailing annualized dividend yield, based on yesterday’s close price, is approximately 7%, the highest among independent refiners. In our Petroleum segment, combined throughput, total throughput for the second quarter of 2024 was approximately 186,000 barrels per day and light product yield was 99% on crude oil process. Following the fire at Wynnewood in late April, we resumed operations of the number one crude unit within two weeks of the incident and the number two crude unit began operating in mid-June. Wynnewood is currently operating at normal rates. Benchmark cracks softened during the second quarter, with the Group 3 2-1-1 averaging $18.83 per barrel, compared to $32.03 per barrel for the second quarter of 2024. Average RIN prices for the second quarter of 2024 also declined from the prior year period and we -- and ended the quarter at approximately $0.69 on an RVO-weighted basis. Regarding the RFS, we were thrilled with last week’s order from the D.C. Circuit vacating EPA’s improper denial of dozens of petitions of other refiners seeking small refinery exemptions. While we await the text of this opinion, the outcome mirrors the Fifth Circuit’s damning opinion last year vacating EPA’s denial of small refinery exemptions for Wynnewood and other refiners from 2017 to 2021. EPA has still not acted on those petitions despite eight months since their remand, and we will -- we -- and while we intend to oppose the writ of cert they filed for the Supreme Court, we think the favorable D.C. action -- D.C. Circuit action should work in our favor. As previously reported, we have a pending suit against EPA in the Fifth Circuit for the denial of our 2022 petition, and earlier this month we filed suit for their illegal failure to rule on our 2023 petition. We submitted our 2024 petition last week and the clock is ticking for EPA to act. We will continue to fight for small refinery exemptions -- for the small refinery exemptions of Wynnewood it deserves and also compel EPA to fix what we believe is EPA’s clear violation of RFS by allowing non-obligated parties to trade in and manipulate the brand market. The Supreme Court’s recent overturn of the Chevron doctrine may represent an incremental positive for our efforts, though the ultimate impact remains to be seen. For the second quarter of 2024, we processed approximately 12 million gallons of vegetable fuel oil through our pretreater -- through the pretreater and the renewable diesel unit at Wynnewood, with throughput in the quarter indirectly impacted by the fire in April. The HOBO spread weakened slightly from the first quarter of 2024 with lower diesel prices and the D4 RINs remained depressed as a result of EPA’s continued mismanagement of the RFS program. As a reminder, our renewable diesel business is currently reported within our Corporate and Other segments. In the Fertilizer segment, both facilities ran well for the quarter with a combined ammonia utilization rate of 102%. Nitrogen Fertilizer prices were relatively consistent with first quarter pricing and we saw strong demand for nitrogen for the spring planting season. Now let me turn the call over to Dane to discuss our financial highlights.
Dane Neumann: Thank you, Dave. Good afternoon, everyone. For the second quarter of 2024, our consolidated net income was $38 million, earnings per share was $0.21 and EBITDA was $103 million. Our second quarter results include unrealized derivative gains of $17 million and an unfavorable inventory valuation impact of $1 million. Excluding the above-mentioned items, adjusted EBITDA for the quarter was $87 million and adjusted earnings per share was $0.09. Adjusted EBITDA in the Petroleum segment was $37 million for the second quarter with the decline from the prior year period primarily driven by lower product cracks in Group 3 and reduced throughput volumes due to the downtime at Wynnewood. Our second quarter realized margin adjusted for unrealized derivative gains and inventory valuation impacts was $9.81 per barrel, representing a 52% capture rate on the Group 3 2-1-1 benchmark. RIN’s expense for the quarter, excluding the mark-to-market impact, was $40 million or $2.33 per barrel, which negatively impacted our capture rate for the quarter by approximately 12%. The estimated accrued RFS obligation on the balance sheet was $312 million at June 30th, representing $471 million RINs mark-to-market at an average price of $0.66. As a reminder, our estimated outstanding RIN obligation excludes the impact of any small refinery exemptions. Direct operating expenses in the Petroleum segment were $6.94 per barrel for the second quarter, compared to $5.46 per barrel in the second quarter of 2023. The increase in direct operating expenses was primarily driven by increased repair and maintenance expenses and lower throughput volumes as a result of the Wynnewood fire. Adjusted EBITDA on the Fertilizer segment was $54 million for the second quarter, with lower feedstock costs and direct operating expenses somewhat offsetting the decline in prices relative to the prior year period. Partnership declared a distribution of $1.90 per common unit for the second quarter of 2024. If CVR Energy owns approximately 37% of CVR Partners’ common units, we will receive a proportionate cash distribution of approximately $7 million. Cash provided by operations for the second quarter of 2024 was $81 million and free cash flow was $7 million. Significant uses of cash in the quarter included $76 million of capital and turnaround expenditures, $52 million for cash taxes and interest, $50 million for the first -- for the CVI first quarter 2024 dividend and $13 million paid for the non-controlling interest portion of the CVR Partners’ first quarter 2024 distribution. Total consolidated capital spending on an accrual basis was $41 million, which included $33 million in the Petroleum segment, $5 million in the Fertilizer segment and $2 million for the RDU, primarily related to the pretreatment unit. Turnaround spending in the second quarter was approximately $3 million. For the full year 2024, we estimate total consolidated capital spending to be approximately $195 million to $220 million and turnaround spending to be approximately $55 million to $65 million. Turning to the balance sheet, we ended the quarter with a consolidated cash balance of $586 million, which includes $48 million of cash in the Fertilizer segment. Total liquidity as of June 30th, excluding CVR Partners, was approximately $790 million, which was comprised primarily of $539 million of cash and availability under the ABL facility of $251 million. Looking ahead to the third quarter of 2024, for our Petroleum segment, we estimate total throughputs to be approximately 200,000 barrels per day to 215,000 barrels per day, direct operating expenses to range between $95 million and $105 million, and total capital spending to be between $35 million and $40 million. For the Fertilizer segment, we estimate our third quarter 2024 ammonia utilization rate to be between 95% and 100%, direct operating expenses to be approximately $53 million to $58 million, excluding inventory impacts, and total capital spending to be between $10 million and $15 million. With that, Dave, I will turn it back over to you.
Dave Lamp: Thanks, Dane. In summary, Petroleum market conditions remain challenging in the second quarter and we would characterize second quarter crack spreads as below mid-cycle levels. Part of the second quarter weakness in cracks can be attributed to high fleet utilization and somewhat lackluster refined product demand in the U.S., although demand in the Mid-Con has remained within five-year bands. Over the past week, we have seen an uptick in the benchmark cracks in the Mid-Con, primarily driven by the tightness in the gasoline and diesel basis, likely due to unplanned downtime by other refineries in PADD II. As I often say, the best cure for low prices is low prices. We are already seeing evidence of run cuts from more marginal refineries, particularly in Asia and Europe, due to the weakness in refining margins in those areas. We believe there is more -- likely more to come in order to rationalize supply, which, along with an increase in product exports or an uptick in U.S. product demand on improved economic sentiment, could provide additional support for refining margins. Turning to the Fertilizer segment, the spring planting season went well and demand for nitrogen was strong. In July, we completed both summer UAN fill and the fall ammonia prepay and saw solid demand for both products at prices that were above 2023 fill pricing, better than most were expecting. We currently have a solid order book heading into the fall and UAN price -- pricing has risen from summer fill prices. Finally, in renewables, we resumed planned operations at the renewable diesel unit in early June following the downtime associated with the Wynnewood fire in April. The pretreater for the renewable diesel unit is also operating at planned rates and so far we’re seeing an improvement in renewable diesel yield and resulting economics at current market prices. Discussions are ongoing through the potential conversion of Wynnewood renewable diesel unit to 100% SAF and we expect to have a development plan together in the next few months for a larger project at coffee bill. We continue to believe there will be a market for renewable diesel and sustainable aviation going forward, and while there is significant interest in the market from potential offtakers for SAF, the bid-ask spread remains fairly wide. In addition to these potential projects and renewables, we continue to explore strategic transactions both in refining and potentially related to the CVR partners, although we have nothing to report at this point. Looking at the third quarter of 2024, quarter-to-date metrics are as follows. Group 2-1-1 cracks have averaged $19.12 per barrel, with the Brent TI spread at $3.22 per barrel and the WCS differential at $14.39 per barrel under WTI. Prompt fertilizer prices are approximately $520 per ton for ammonia and $240 per ton for UAN. As of yesterday, Group 3 2-1-1 cracks were $21.74 per barrel, the Brent TI was approximately $4 per barrel and WCS was $15.75 under WTI. RINs were $3.96 per barrel. As always, we continue to strive to operate our plants in a safe, reliable and environmentally responsible manner to explore opportunities to grow -- and to explore opportunities to grow the company. We also continue to focus on maximizing free cash flow and protecting the balance sheet while aiming to provide an attractive return to shareholders. With that, Operator, we’re ready for questions.
Operator: Thank you. [Operator Instructions] Thank you. Our first question comes from John Royall with JPMorgan. Please proceed with your question.
John Royall: Hi. Good morning. Thanks for taking my question. So, Dave mentioned a potential insurance recovery regarding the $50 million loss from the Wynnewood outage. Is there an expectation you can share for how much of that $50 million you might see coming back and maybe a timeline as well?
Dave Lamp: Well, we have a deductible, and from a property and equipment standpoint is probably where most of that will come from. We don’t really have a good estimate yet, but I’m guessing around $20 million and the timeframe of getting it back is always an interesting process.
John Royall: Okay. Thank you. And then can you talk about the broader strategy around renewables in today’s market? I know you have a couple of potential projects that are moving forward, but obviously the margin environments challenge right now and I know this is all kind of pending, finding agreements with partners, but are you waiting at this point to see if the market improves before you sanction these projects or do you remain confident in the long-term viability of RD and staff such that you might take FID in a lower margin environment?
Dave Lamp: Well, I think, you’ve got to remember how we got here. The RVO that was set for three years was set, I think, basically for political reasons, if nothing else, with an election coming up to lower the price of gasoline and diesel. And what it manifested itself into is D4s were way under RVOed, and as a result, the RINs dropped, and then there went largely the economics of RD. That said, if you still look at what the market offers, even on a bean oil basis, you can eke out some profit just if you operate well at design rates and minimize your costs. So, I think, there’s no question decarbonization is still going to be with us for a long time, and probably, the best material out there that can handle heavy machinery and trucks and such is renewable diesel if you really want to reduce carbon. So I think that the market’s there, and of course, from an SAF standpoint, the airlines really have no other alternative to really reduce carbon. So you could do ethanol to SAF, but if you look at the yield and the cost, it’s almost identical to the SAF route via vegetable oils and waste oils. So, I think, it’s around a long time, John, and our timing is we’re not in a big hurry to push these things out. From an SAF standpoint and converting Wynnewood, we really want to have contractual terms that give us a return or we just won’t do it. And the Coffeyville side is, this is really a deal where we’re putting sweat equity into it, a little bit of money to seed it, but the bottomline is we’re looking for partners that we could roll the Wynnewood business in with and eventually monetize our investment there. So we’re still positive on it. Timing’s not perfect, but a new RVO coming out here with a new president, and hopefully, they’ll put some sense into it and decouple 6s from 4s, and I think, you’ll see the market improve dramatically if that occurs.
John Royall: Very helpful. Thank you, Dave.
Operator: Our next question comes from the line of Neil Mehta with Goldman Sachs. Please proceed with your question.
Neil Mehta: Good morning, Dave and team. I guess the first question, just building on the UAN commentary, was there’s a very strong quarter at UAN in the Fertilizer segment, and sometimes those of us in refining have less visibility into some of the comings and goings of that segment. So, can you talk about what you’re seeing on the ground, anything that’s one-time in nature or have we found a sustainable level of higher profitability?
Dave Lamp: Well, I think, Neil, if you look at the market, it’s really stabilized. I think it’s kind of in balance and that’s driven the prices back to what we would call mid-cycle. $5.20 and $2.50 on UAN, $5.20 on ammonia and $2.50 on UAN is right in the wheelhouse of mid-cycle. Farmer economics are still fairly good, although price of grains have dropped quite a bit. But they’re still very profitable if you own the land, a little less if you’re leasing the land. But as our customers go, we go, and I think the demand for Fertilizers is quite strong, as evidenced by our fill, prepay on ammonia and our fill on UAN. That kind of gives you a look into the market going forward. So it looks very positive to us.
Neil Mehta: Thanks, Dave. And you talked a little bit about trying to figure out the right long-term corporate structure around some of these assets from whether it makes sense to monetize the Nitrogen business. But you’ve also talked over the years about if you’re not a seller, then you could be a buyer. And just put that in the context of the refining business, are there assets on the market that look interesting to you and you’ve talked about diversifying outside of Group 3 as well. So how does that fit into the strategy?
Dave Lamp: Yeah. I think if you have any weakness in our company, it’s -- we’re concentrated in the Mid-Con and one market with the Cushing-Cruz, and that’s about it. Obviously, diversification away from that or in addition to that is a good thing. So we look at everything that comes on the market and there are some interesting deals out there. We don’t have anything to announce yet or even discuss, but we will look at everything and continue to look at everything just as we do with UAN and how work -- how it’s structured in our 100% ownership of the GP, but 37% of the units. So we continue to innovate on that and look at all options.
Neil Mehta: Thanks, Dave.
Dave Lamp: You’re welcome.
Operator: [Operator Instructions] Our next question comes from the line of Paul Cheng with Scotiabank. Please proceed with your question.
Paul Cheng: Hey, guys. Good afternoon.
Dave Lamp: Hi, Paul.
Paul Cheng: I think in the past, you have at one point suggest that you may even consider to convert the RD back into just running oil, running crude oil. Can you give us some idea that, I mean, under what circumstances that you will make such a decision and that what kind of timeline or that precondition that you are looking for?
Dave Lamp: Well, Paul, I think, if you look at the RD business we have today, what it does is mitigate a lot of RINs for us, and that has some value that we have to go out in the marketplace and buy it. Even if we may have a small loss on renewable diesel, yeah, we think that’s a benefit to us going forward. But I am very confident that even in today’s market, we can print the $0.30 a gallon to $0.40 a gallon profit pretty easily if we just run to design and that’s where we’re at now. We’re at a rate that’s slightly reduced to really optimize our catalyst life. And if we get that all in line, get the cost in line, even under today’s market conditions, we think that can happen. Now, we do have the BTC expiring at the end of the year. There’s legislation that’s being proposed to extend it. What’s going to happen, nobody knows. But our view is that the RIN will respond if the BTC goes away almost dollar-for-dollar and that will probably cement the RD economics even better. We really like our location in terms of being close to the ag belt. We still have exploring to do on the lower CI materials. Just recently, we got our CIs on both corn oil and bean oil reduced by 10, which helps us on the economics also. So we’re in it for the long haul. We always keep an eye on it to what it would be -- what it would take for us to switch back to hydrocarbon surface -- service. And obviously, where cracks are today, it’s not a very hard decision to keep running RD.
Paul Cheng: And David, how about you and Dane, what else do you need to take in order for you to be able to run the full design capacity? I mean, you are running more like 65%, 70%. So what needs to be changed in order for you to be able to get to 9500%?
Dave Lamp: I didn’t get your question, Paul.
Paul Cheng: In your Wynnewood, your RD facility currently, you’re running at about 65% to 70% utilization rate or nameplate capacity. What will you take or what needs to be changed in order for you to be able to run that close to 100%?
Dave Lamp: Well…
Paul Cheng: And how far you can get there?
Dave Lamp: Yeah. Well, I think, this run that we’re at now with the pretreater, we’re going to at least a year catalyst life and that’s going to bring our utilization right on up with it. To get to 100%, we are -- we -- as I mentioned, we’re looking at how to optimize the catalyst load and how to get the maximum life out of it, which affects the economics tremendously. So, we have cut back a little bit. We’re running more closer to the 80-million-gallon rate right now and we plan to hold that for this entire run. And then we’ll walk it up probably another 500 barrels or 600 barrels, something like that, 10%, 20% on the next load to really get us all the way up to the highest run we think we can optimize on.
Paul Cheng: Okay.
Dave Lamp: It’s going to take another cycle to do that.
Paul Cheng: So you’re talking about sometime by the end of next year?
Dave Lamp: Yeah. I’d say by the end of that, we should be on the second -- on the fourth load, and fifth load, excuse me. And that will give us the curve we need and the data we need to know where the optimum is.
Paul Cheng: I see. And Dave, you’re talking about the EPA lawsuit. So what’s the next step for you and then the timeline and the action that you’re going to take? I mean, that you sort of get a somewhat favorable ruling from the court, but that hasn’t been able to translate into anything yet. So what’s the next step for you to be able to pursue?
Dave Lamp: Well, the D.C. Circuit ruling was a big one, okay? That kind of confirmed the Fifth Circuit ruling. So it took an appeal out of question, I think, for EPA to go to the Supreme Court to try to overturn those. But all that said, EPA may try to come up with some other lousy excuse to deny small refinery waivers, which we’ll have to battle. In the meantime, we have submitted our 2024 small refinery waiver. Our 2023 has been pending for five months now and they missed the 90-day requirement by the law. So we’re suing over that. So we continue to pile on, if you will, with lawsuits on this poor management by EPA on this whole ruling. And I did mention the other factor that we’re petitioning the government to start rulemaking again on changing the obligated parties to only include people that are obligated parties to be able to trade or buy or sell or generate RINs. The way it is today, anybody and their brother can do it and that’s led to manipulation. And I’ll just use today’s example of renewable diesel. If you looked at the RVO that was set and the volume of renewable diesel that’s being produced, RIN should be zero, frankly. And because of all these other players in there hoarding RINs and hiding them and doing this and that, it’s actually $0.60 or it’s got as low as $0.32, I think, and has whittled its way back up. So we’re going to pursue that one also against EPA. So we’ve got multiple fronts working.
Paul Cheng: All right. All right. Good luck on that. Thank you.
Dave Lamp: Yeah. Thank you. We’ll need it.
Paul Cheng: You’re dealing with the government.
Dave Lamp: Yeah. That’s right.
Operator: Our next question comes from a line of Matthew Blair with Tudor, Pickering. Please proceed with your question.
Matthew Blair: Good afternoon. Thanks for taking my question. On Coffeyville, it looks like the crude diet reflected a nice move up to gathered barrels. It looks like you’re gathering more of your own barrels and pushing out. I guess it would be just like pushing source barrels of WTI. Could you talk about how you’re able to increase these gathered barrel volumes and uplift to your refining system?
Dave Lamp: Well, I think, what you’re seeing there, Matt, is mostly the effect of the fire at Wynnewood. Normally, we’d run a lot of those barrels at Wynnewood and with Wynnewood out of commission for two weeks and cut back for about almost two months. A lot of those barrels went to Coffeyville. It backed out domestic sweet, which is the Cushing common or commonly called WTI out of Cushing, which is a blended barrel. So, our strategy has always been to gather at the wellhead and pick and choose the most profitable crudes and we continue that. Our gathering right now is up to about 136,000 barrels a day, which is probably up, I don’t know, over five years, probably, about double, roughly. And it’s really important for Wynnewood because Wynnewood ‘s configuration is it needs about a 48 gravity crude and because we take the BTBs and crack them in the cap and that requires certain quality crudes. So, it’s given us the ability to do RD and a few other things that the fact that we have the gathered crude system.
Matthew Blair: Sounds good. And then on the RD side, I just wanted to clarify. So, for the pretreatment, should we expect that that will be fully online and contributing for Q3 and beyond, because it looks like it wasn’t really a factor in the second quarter. Is that correct?
Dave Lamp: Yeah. Well, it was a factor in the second quarter, but the fire kind of knocked our, we should have made 19 million gallons and we only did about 12 million gallons and that was the effect of the fire. But our yield is up over 95%, which is a vast improvement over where we were without the pretreater. And the metals, everything looks, the pretreater is really doing a fantastic job on pretreating and it’s really making a difference in what we see in the unit, the downstream unit. So, it’s expected to run forever from now on.
Matthew Blair: Great. Thank you very much.
Dave Lamp: You’re welcome.
Operator: We have reached the end of the question-and-answer session. I would now like to turn the floor back over to management for closing comments.
Dave Lamp: Again, I’d like to thank you for your interest in CVI Energy. Additionally, I’d like to thank our employees for their hard work and commitment towards safe, reliable and environmentally responsible operations. We look forward to reviewing our third quarter 2024 results during our next earnings call. Thank you. Have a great day.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.